Operator: Good day, and welcome to the Philip Morris International Fourth Quarter 2011 Year-End Earnings Conference Call. Today's call is scheduled to last about 1 hour, including remarks by Philip Morris International management and the question-and-answer session. [Operator Instructions] I will now turn the call over to Mr. Nick Rolli, Vice President of Investor Relations and Financial Communications. Please go ahead, sir.
Nicholas Rolli: Welcome. Thank you for joining us. Earlier today, we issued a press release containing detailed information on our 2011 full year and fourth quarter results. You may access the release on our website at www.pmi.com. During our call this afternoon, we'll be talking about results for the full year or fourth quarter 2011 and comparing them with the same period in 2010, unless otherwise stated. References to volumes are for PMI shipments. Industry volume and market shares are the latest data available from a number of sources. Organic volume refers to volume excluding acquisitions, which for the purposes of this presentation also includes our business combination with Fortune Tobacco Corporation in the Philippines. Net revenues exclude excise taxes. Operating company's income or OCI is defined as operating income before general corporate expenses and the amortization of intangibles. You'll find data tables showing how we made adjustments to net revenues and OCI for currency, acquisitions, asset impairment, exit and other costs. Free cash flow calculations and adjustments to earnings per share or EPS, as well as reconciliations to U.S. GAAP measures at the end of today's webcast slides, which are posted on our website. Today's remarks contain forward-looking statements and projections of future results. I direct your attention to the forward-looking and cautionary statements disclosure in today's presentation and press release for a review of the various factors that could cause actual results to differ materially from projections. It's now my pleasure to introduce Louis Camilleri, Chairman and Chief Executive Officer; and Hermann Waldemer, Chief Financial Officer, who will join Louis for the question-and-answer period. Louis?
Louis C. Camilleri: Thank you, Nick. And good afternoon, ladies and gentlemen. 2011 was a superb year for Philip Morris International. We returned to organic volume growth, thanks notably to our strong performance in Indonesia and in Japan, where we benefited from our excellent execution in response to the tragic events there last March. We achieved global share growth for the fourth consecutive year, driven by our superior brand portfolio. Our solid volume performance, strong pricing and significant productivity savings led to record profitability. Finally and perhaps most importantly, we continued to generate strong cash flow, which enabled us to provide generous returns to our shareholders. In the fourth quarter of 2011, we increased net revenues and adjusted operating company's income or OCI, excluding currency and acquisitions, by 8.2% and 7% respectively and grew our adjusted diluted earnings per share, excluding currency, by 13.4%. The growth in adjusted OCI, excluding currency and acquisitions, was driven by higher pricing, particularly in the EEMA and EU regions and favorable volume mix, principally in Asia, partly offset by higher costs reflecting increased marketing investment in several important markets, such as Germany, Japan and Russia. In the Asia region, adjusted OCI, excluding currency and acquisitions, was up by an impressive 22.6% in the quarter, driven by strong growth in Australia, Indonesia, Japan, Korea and the Philippines, and by a robust 10.5% on the same basis in the EEMA region. These increases more than compensated for declines in our 2 other regions. In the EU region, adjusted OCI, excluding currency, was down 4.3%, adversely impacted by unfavorable volume mix, notably in Italy and Spain. In addition, we increased our marketing investments substantially in the quarter behind a new Marlboro marketing campaign in Germany, Marlboro Beyond capsule product launches in France and Switzerland and the launch of Marlboro Core Flavor in Spain. In the Latin America and Canada region, unfavorable volume mix primarily volume in Mexico and higher expenditures contributed to a 6.3% decline in the quarter in adjusted OCI, excluding currency and acquisitions. On a full year basis, net revenues and adjusted OCI, excluding currency and acquisitions, rose by 9.2% and 14% respectively and the growth of our adjusted diluted earnings per share, excluding currency was an outstanding 21.2%. In recent months the euro has weakened, mainly due to the sovereign debt issues in Europe and several emerging market currencies have also depreciated against the U.S. dollar. At prevailing exchange rates, we forecast a currency headwind of approximately $0.10 per share this year with the largest impact expected to come in the second and third quarters. I would like to stress that this would simply bring us back about halfway to the currency levels generally prevalent in 2010 as we benefited from a $0.19 per share currency favorability in 2011. We have excellent business momentum going into 2012, which will enable us to fully compensate for the earnings per share hurdle of $0.10 related to the exceptional circumstances in Japan in 2011. The comparison for Japan will, of course, be especially difficult in the second quarter of this year. For the full year 2012, we are forecasting reported diluted earnings per share guidance at prevailing exchange rates to be in the range of $5.25 to $5.35 compared to $4.85 in 2011. Excluding the currency headwind, this new guidance range represents a growth rate of approximately 10% to 12% compared to adjusted diluted earnings per share of $4.88 in 2011. Thus, I am delighted to reconfirm that we expect to achieve results in 2012 that will again meet our mid- to long-term currency-neutral annual growth targets, this despite the Japan hurdle I just mentioned. Our strong business results have generated tremendous and growing amounts of cash. Our free cash flow has grown at a double-digit compound annual growth rate since 2008 to reach $9.6 billion in 2011, despite sizable contributions of more than $500 million into our main employee pension funds last year. We expect continued cash flow growth in the years ahead, which will enable us to provide our shareholders with generous returns. We initiated our current $12 billion 3-year share repurchase program in May 2010. At the end of 2011, we had $3.6 billion left under this authorization and we expect to complete our current program well ahead of schedule. We plan to spend $6 billion in total on share repurchases during this year. We remain confident in our future as the key drivers of our strong 2011 performance are expected to remain in place in 2012. These are a manageable excise tax environment, stable industry volume trends, our superior brand portfolio, our market share growth, a favorable pricing environment, limited input cost increases and strong productivity gains. The threat of disruptive excise taxes has always been a concern. However, most governments appear to have understood that large disruptive excise tax increases usually do not generate the targeted increase in government revenues nor are they sustainable. Consequently, there have been no excise tax increases implemented or announced so far this year that we would deem to be extreme in any of our key markets, despite large government budget deficits in numerous countries. On the contrary, we are witnessing a more reasonable approach both in terms of incidents and the structure of excise taxes, most notably in the European Union, as governments are keen to secure sustainable revenue streams from tobacco taxation. Several countries in Europe are most likely to increase general VAT rates this year. But overall, we believe that such increases should be manageable. We anticipate that cigarette industry volume trends will remain similar to those prevalent last year. We see further volume growth opportunities in non-OECD markets where the adult smoking population is expanding and where the economy is vibrant, most notably in Asia and the Middle East. The industry volume decline in the largest OECD markets and in Eastern Europe is expected to be moderate. The one area of significant concern remains Southern Europe, where unemployment remains notoriously high and is regretfully still rising. We expect PMI's organic cigarette volume performance in 2012 to be relatively flat despite the hurdle we face in Japan. This is better than the 5-year total industry volume trend, excluding China, that we forecast in November last year. Our superior geographic footprint and brand portfolio are driving our share growth momentum. We expect to outperform the industry again in 2012. In 2011, we gained 1.2 share points in our top 30 OCI markets to reach a level of 36.3%. We generated particularly strong market share gains in OECD markets, driven by Germany, Japan, Korea and Turkey and increased market shares in a number of important non-OECD markets, such as Indonesia and Russia. Every single one of our top 10 brands realized volume gains in 2011, whether sold in the premium, mid- or low-priced segments or whether international or local. The strength of our portfolio is underscored by the fact that these top 10 brands accounted for approximately 75% of our worldwide volume last year. Marlboro continues to steadily gain market share on a global basis driven by its strong performance in Asia and the EEMA region, which has more than offset the pressure on the premium segment in Western Europe. This growth has been propelled by the new architecture, the launch of consumer-relevant line extensions and enhanced consumer engagement. Parliament, which has a luxury positioning and is sold at an above-premium price, performed exceptionally well with an increase in shipment volume of 12.1% last year and 18.7% in the fourth quarter alone. In 2011, Parliament share grew in its 5 major markets of Kazakhstan, Korea, Russia, Turkey and Ukraine. L&M, our second-largest brand, grew by 1.7% to reach 90 billion units in 2011. This was achieved through continued market share gains in the European Union region, most notably in Germany, where the brand grew by 1.1 share points to reach a market share of 10.4%. Importantly, as the year unfolded, we were able to stabilize the brand's share in the EEMA region and particularly in Russia, where it has been under pressure for the past few years. Overall, we achieved a favorable volume/mix variance of $422 million in 2011. This represents an improvement of $1.1 billion compared to 2010. In 2011, our pricing variance reached $1.9 billion, half of which came from the Asia region, well above the $1.6 billion average achieved over the previous 3 years. The favorable pricing environment is expected to continue to be a key driver of our growth in 2012. Since the beginning of the year, we have announced or implemented price increases, notably in Germany, Indonesia, Mexico, Russia and more recently in Korea. In fact, we have already in place price increases which cumulatively account for some 70% of the pricing variance included in our 2012 earnings per share guidance. Adjusted OCI margins improved further in 2011 to reach 44.2%, excluding currency and acquisitions, driven by higher prices, the positive impact of geographic mix, particularly from Japan, and productivity savings, which surpassed our $250 million target. At the same time, we made significant investments in business infrastructure in Russia, as well as in our brands in Japan and other markets, notably behind the successful launch of consumer-relevant line extensions. Going forward, we forecast moderate increases in tobacco leaf prices and direct material costs, broadly in line with inflation. With the exception of higher costs relating to the imposition of reduced cigarette ignition propensity or RCIP paper in Europe, we are targeting a further $300 million in pretax productivity savings in 2012, predominantly derived from manufacturing and supply chain initiatives. We continue to transform a considerably higher proportion of our growing net revenues into free cash flow than our consumer products and tobacco industry peers. Our strong and growing cash flow fuels an attractive dividend and share repurchase program. We've increased our dividend by 67.4% since 2008 and repurchased nearly 20% of our shares outstanding at the time of the spin. In 2011, we outperformed every company in the Dow Jones Industrial Average in terms of shareholder returns and share price appreciation, with gains of 39.8% and 34.1% respectively. Over the period of March 28, 2008 through the end of December 2011, we have returned approximately $37 billion to our shareholders in the form of dividends and share repurchases or nearly 30% of our current market capitalization. While the economic environment, particularly in Southern Europe, remains fragile and continued currency volatility is an obvious concern, we remain optimistic that our growth prospects are sound despite the comparison to what was a banner year for Philip Morris International. Thank you for your attention. Hermann and I will now be happy to answer your questions.
Operator: [Operator Instruction] Our first question comes from David Adelman of Morgan Stanley.
David J. Adelman - Morgan Stanley, Research Division: I wanted to ask you about 2 markets, one is Japan and then Russia. Let me start with Japan. Can you talk to us how you envision the 28.2% share entering the year, how you see that evolving throughout 2012. What type of impact, if any, do you think you'll see from JT's plethora of pending product launches? And also as your share has gone up, have you been able to capture a greater share of convenient store shelf space?
Louis C. Camilleri: Well, our ambition is to continue to grow our share, David. In January, our share was 28.3%, fourth quarter was 28.2%. We also have a plethora of new products coming up. So in terms of share, our ambition certainly is to continue to grow share in this important market. And I think we have a number of exciting programs there. I think also in terms of the macro picture, the markets performed much more strongly than we had originally anticipated at this time last year. Ultimately, volume was only down about 10.5% last year. And you may recall that our concern was it would be down about double that. So it's not just a share story, it's also volume story. And I think in terms of our presence in convenience vending, generally in terms of consumer engagement and trade engagement, we are very competitive. And as I said in my remarks, we have increased our spending in Japan.
David J. Adelman - Morgan Stanley, Research Division: Okay. And then in Russia, Louis, can you speak to the execution plan behind Marlboro? How long do you think it's really going to take to have a meaningful increase in market share? And have you done anything in test markets or in smaller cities that has some promising indications?
Louis C. Camilleri: You're right to point out that Marlboro in Russia has been an issue for us, and we've clearly devoted a lot of resources to try and find a solution for Marlboro in Russia. We have beefed up our organization considerably. And the good news is that last year, starting last summer, we did one main test in the city particularly focused on Russia and Marlboro's potential there, and I must say the results of all the activities that we did in that city in Russia provided excellent results and really moved the needle quite considerably in terms of Marlboro. It also pointed out some of Marlboro's weaknesses to us. But I would say that probably for PMI, that market test was not only important for Russia, but a lot of the learnings of what we did there would be applied elsewhere in the world. But going back to Russia, what we did, it was in Yekaterinburg, you will see that there will be expansion this year, and we anticipate more spending in Russia. Marlboro's been losing share for some time now. I think we now have to focus on its issues. We know what to do. I'm hopeful that we can grow share. Whether it will be a significant brand will take quite a lot of time, David.
Operator: Your next question comes from Judy Hong of Goldman Sachs.
Judy E. Hong - Goldman Sachs Group Inc., Research Division: Louis, so if I just take your volume guidance for 2012 sort of flat, even if you're lapping the Japan impact, so that implies if you take Japan out, you're probably looking for an acceleration in terms of other markets outside of Japan. So I'm just curious if you can just walk through where do you feel confidence that the volume can actually accelerate. Can Indonesia continue to grow at this 20% rate?
Louis C. Camilleri: No, I don't think Indonesia is going to be growing at 20% volume rate. I think it's generally strength across-the-board, Judy. If I look at our share performance in the fourth quarter, and I'm talking just share here, in the vast majority of markets, we did better than the full year, so it shows that we have momentum. I think the big difference is that we anticipate that volume in the EU will be better than it was in 2011 because a lot of the issues are potentially behind us. Southern Europe remains a concern, but we still believe that we can do better in the EU than we did in 2011. Asia and EEMA will continue to propel our growth and we also believe that there are growth prospects in Latin America and Canada because share performance in Latin America has actually been quite spectacular. But obviously Mexico was a big issue in 2011 with a significant decrease in consumption, which affected the whole region's performance. And as you know, there's no tax increase in Mexico this year. So hopefully, we're looking a much better comparison than we did in 2011.
Judy E. Hong - Goldman Sachs Group Inc., Research Division: Okay. And then just going back to Japan, Louis, I guess, one downside of perhaps the 2011 success in Japan is Japan is now a much bigger portion of your overall profit, as well as the overall Asia profit. And it is one market where pricing freedom is limited. So can you help us understand how you grow profit in that market without the pricing freedom? And do you need to see acceleration in profit of other Asian markets to really drive continuous healthy profit growth in the Asia region?
Louis C. Camilleri: Well, it's a downside I can actually live with. But I would say that you're right, Japan is obviously a significant profit center. I think in terms of growth going forward, we had proven that, in fact, we had probably cracked the pricing freedom issue back in 2010. Now clearly, JT is the leader there. You know that the government is targeting reducing their stake in the company. And from everything I read, JT is focused on becoming much more shareholder-friendly in terms of dividend, share repurchases, et cetera. So I think pricing freedom per se is likely to get better over time. This year, we do not anticipate any tax increases. And we think we have significant share growth potential in that market. Going to the rest of Asia, we believe that Asia will continue to be the growth engine of this company, and that there is still a lot to accomplish in our existing markets, but also in virgin territories. So yes, the rest of Asia will certainly grow faster than Japan, but I wouldn't write off Japan at all, Judy. I should add that we anticipate that this year, partially because of the strength of the yen but despite the huge hurdle we face, we anticipate that our income in Japan will be higher than it was in 2011.
Judy E. Hong - Goldman Sachs Group Inc., Research Division: On a constant currency basis.
Louis C. Camilleri: No, I said partially...
Judy E. Hong - Goldman Sachs Group Inc., Research Division: With the yen. Okay.
Operator: Your next question comes from Erik Bloomquist of Berenberg Bank.
Erik A. Bloomquist - Berenberg Bank, Research Division: I wanted to circle back on some of the markets. In particular, given your comments on the outlook for Asia, I was wondering if you could update us on the Philippines business and where things are at both in terms of the cost saves, but more importantly the outlook for that business as now it has been a while with PMI really in control of that operation.
Louis C. Camilleri: We're delighted with the business combination in the Philippines. Everything is going according to plan and, in fact, beyond plan. Income is up significantly, driven by both pricing, share growth as well as cost saves. We're ahead of our target in terms of cost saves. And there is more to come this year. We've gained share, the market was down last year because of the price increases and the tax increase in early 2011. In 2012, there's no tax per se. Share growth continues, so the outlook in the Philippines is really quite excellent. We're now focused on merging our distribution arms. And that, I think, will give us even more leverage with the trade and really be able to capitalize on the entire brand portfolio. Does that answer your question, Erik?
Erik A. Bloomquist - Berenberg Bank, Research Division: Yes, that's helpful. And then with respect to Plain Packaging, I was wondering if you can update us on where we're at in that process. Obviously, the implementation is in December 2012, and I believe we can expect a hearing in April. So I was curious both in terms of what it looks like in the Australian High Court challenge, but then also the BIT challenge and where things stand with the WTO.
Louis C. Camilleri: Okay, I'll try to give you a brief summary. You may have read that the government has filed its defense in the High Court a couple of days ago, I believe. And there is a hearing on procedural matters, I believe, on February 23, and we'll take it from there. One of the focus areas will be on the facts behind the claim in terms of we believe that there's been an acquisition of property and the government does not believe that there's been an acquisition of property. And the court will have to decide what are the relevant facts related to that specific legal claim, and if there's disagreement on those facts, that may delay the whole process. If there's agreements, there's likely to be a decision in late summer or the fall. But from everything we see, it seems that there may be significant disagreement on the factual components of the claim. On the BIT claim, where we stand is that both parties have chosen the arbitrators that represent them. And those 2 now are scheduled to choose the third one. So that will take a little while. And really, the case won't really start until this summer. But it's likely to be a 2-year process at best. And in terms of the WTO, there's not much to report other than we are aware that a number of countries have expressed a strong desire to make a claim against Australia to the WTO. So we're really in the early days of all the litigation efforts, the 3 key efforts, but we remain vigorous in our intent to pursue our rights vis-à-vis Australia.
Erik A. Bloomquist - Berenberg Bank, Research Division: And if I could follow up on that briefly, is it fair to think that other countries' considerations of Plain Packaging is likely to be that any efforts toward moving into a plain packaging environment are likely to be on hold, given the Australian litigation? Is that a fair view from your perspective?
Louis C. Camilleri: I'm not sure, Erik. Clearly, they're all watching Australia with a close eye. The legal situation changes depending on the geographies. I think that there are a number of countries that are looking at it very seriously, New Zealand is one. The U.K. is starting a consultation phase. But I think that in most instances, people will realize that Plain Packaging does not achieve the objectives that those acts would hopefully entail. In fact, there are such huge unintended consequences that I think it would be detrimental to public health. And it certainly will not reduce consumption of cigarettes, which is the main aim here.
Operator: Your next question comes from Christopher Growe of Stifel, Nicolaus.
Christopher Growe - Stifel, Nicolaus & Co., Inc., Research Division: A couple of questions for you. Early in your remarks, Louis, you commented on a $0.10 hurdle from Japan. I just want to understand that figure because I think you were running at a $0.15 benefit. Did I understand that correctly? Or what's the difference in the calculation there?
Louis C. Camilleri: What we've said is if you look at 2011, the increment of the special situation in Japan, the $0.15 was through the third quarter. For the full year, it's $0.18, Chris. That was the impact on 2011. If you now look forward to 2012, we clearly have gained share and we've retained that share. So that's in the base, which is this 28.2%. Hence, the -- really which happened in the second quarter of last year where the share was significantly higher than that, that actually is the way we view the hurdle for 2012. And therefore, it's a different number and that number is $0.10.
Christopher Growe - Stifel, Nicolaus & Co., Inc., Research Division: That makes sense. The other question I had for you is just in relation to Marlboro. Obviously, the brand did remarkably well in 2011. Is part of your volume growth plans -- I'm sure you don't want to get too detailed on these plans, but do you expect Marlboro growth? And I guess I can go a step further than that. I was just curious that that's a brand you've invested pretty heavily in with new products and promotional campaigns. You labeled some of those for some of the Western European markets in your remarks. Do you have enough sort of new activity there? Do you think that the Marlboro brand could kind of keep up with the overall company's volume growth in 2012?
Louis C. Camilleri: I would certainly hope so, yes. And we still anticipate a number of programs behind Marlboro. It has suffered in a few markets. But even if you take the European Union and you separate the south versus the north, the north has done much better. And we're confident that we can still improve that situation. In the south, essentially Marlboro stands alone in the premium segment, everybody has vacated that segment. And we had programs in place in terms of lathering the brand through the Core Flavor extensions, the Pocket Pack. And that seems to have been quite successful. If you take Greece, Marlboro share is actually up in Greece, which is quite a spectacular performance. So we'll see as things unfold. But clearly, our ambition is to ensure that Marlboro continues to grow and actually hopefully outpaces the total volume growth of the company.
Operator: Your next question comes from Bonnie Herzog of Wells Fargo.
Bonnie Herzog - Wells Fargo Securities, LLC, Research Division: My first question is on Parliament, your Parliament brand, which as you mentioned has been generating faster growth and at the above-premium price point. So could you talk a little bit more about why you think this is occurring? Is it driven by improving economic trends in key markets? Or have you been increasing marketing spend behind the brand? And then also, how sustainable is this growth for Parliament? And are there further opportunities to extend the brand into other markets?
Louis C. Camilleri: Well clearly, because it's a luxury brand, Bonnie, it is less sensitive to price than a brand such as Marlboro. And it has proven to be extremely resilient. There has been a lot of innovation behind Parliament, so far extremely successful. It's a very special brand. Its recessed filter has been copied by others in a number of markets, Turkey, in particular. But even then Parliament continues to grow. So it has a good presence in a luxury segment that is less prone to down trading and we're seeing the results, which are pretty spectacular. I don't know what else I could add.
Bonnie Herzog - Wells Fargo Securities, LLC, Research Division: No, that sounds good. And then I have another question in terms of your business in Asia. And after modeling it out, it's clear to me that your top line market should continue to drive the bulk of the profitability in the region in the next 3 years, particularly Indonesia. But I'd like to hear from you how you think about sort of the mix of the countries within your Asian region and how that might evolve and specifically, in regards to your investment cycle and infrastructure build in some of the other growing markets such as Thailand, Vietnam, India, sort of where you're at with some of those maybe smaller markets for you at this point.
Louis C. Camilleri: Okay, let me attempt. We talked about Japan earlier, and I think Japan will always remain a very important market for Asia. Korea, we feel very good about Korea in terms of its share growth. We just took a price increase, and Korea will continue, in our mind, to show long-term growth. Our share may suffer a bit because KT&G has not increased its prices. But within the portfolio, we feel very good about our business in Korea. Indonesia, I believe, will continue to be the growth driver in Asia for many, many, many years. Philippines, we mentioned earlier. I think Philippines has the potential to be a top 5 income market for the whole of PMI within the next 7 to 8 years. And then there are all the other markets that you mentioned where we are seeing growth. I mean, what was phenomenal in Asia is that Marlboro gained share in every single market in Asia last year. And in terms of share, we gained share in every market, with the exception of Pakistan. There are territories such as Vietnam which I think will be a market for the future, which we are doing well in and I hope we will continue to do well. And then of course there's China, Bonnie. And I would hope within the time frame that you're talking about, somehow we will have a presence in China, which completely changes everything in terms of Asia because there would be a paradigm shift.
Bonnie Herzog - Wells Fargo Securities, LLC, Research Division: Absolutely. That's helpful. And I just sort of want to confirm then some of the infrastructure build in some of those markets where you don't necessarily have a huge presence at this point, you've invested, you're ready.
Louis C. Camilleri: We are ready. And we have invested in terms of resources and we continue to do so and to ensure that we have the appropriate talent as well in all these markets.
Operator: Your next question comes from Chris Ferrara of Bank of America.
Christopher Ferrara - BofA Merrill Lynch, Research Division: I wanted to ask about the marketing, admin and research. So on a total company level, I guess it was up about 100 basis points. And you've certainly been clear about the specific market investments you guys have made, an infrastructure build in Russia. But that 100 basis points on a total company basis is the largest we've seen since '09. So I was just wondering if you can kind of put the magnitude of that increase in context. Is it timing of a bunch of different things you're doing at once? Is it a reflection of your success so far and just the ability to spend back, having a couple of little fires in the Marlboro brand around the portfolio, I guess? But can you just put that increase in context?
Louis C. Camilleri: I think you sort of covered it all in your question. It's a combination of everything you just said. We have a number of programs in place. And we have exciting programs that we're now implementing and we're putting money behind it across numerous markets. I've sort of highlighted the key ones. Germany is the first market we've used the new Marlboro campaign, which we started in the fourth quarter. And we're very hopeful that, that will move the needle in terms of Marlboro in Germany. And clearly, that campaign will be expanded elsewhere and there's a lot of excitement generated by that campaign. And we continue to build on the Marlboro architecture in the line extensions, and I've mentioned a few examples in the European Union. But if you take Asia, some of the line extensions have been frankly quite spectacular. Ice Blast in Japan has been a phenomenal success. So there's a lot of excitement behind Marlboro, and we're putting the money behind it. But it's not just Marlboro, it's Parliament, it's L&M and it's Chesterfield, where a lot of work has been done in terms of brand portfolio, the actual brands themselves, the campaigns, the consumer engagement activities. It really is all coming together.
Christopher Ferrara - BofA Merrill Lynch, Research Division: That's helpful. And I guess, as a follow-up, would you expect these levels of spending to be sustained? I guess is there any upfront nature of this spending? Or it's just something you'd expect to continue? And I guess, what do you think of the timing of the payback of these investments, understanding, of course, there are different natures of these? If you could just kind of try to pull it together, I'd appreciate it.
Louis C. Camilleri: We anticipate in 2012 that we will actually increase our marketing spend and investments. And the beauty of our margins is that the returns are pretty rapid.
Operator: Your next question comes from Michael Lavery of CLSA.
Michael Lavery - Credit Agricole Securities (USA) Inc., Research Division: I just wanted to dig into India a little bit. I know it's small and far longer-term opportunity, but how has the response to Marlboro been since you sort of retriggered the business there? What's the consumer and retailer, customer response been so far?
Louis C. Camilleri: You're right, it's still small. We're really only active in 3 cities today. And the reaction both from the trade and the consumer in those 3 cities is actually excellent. Marlboro continues to grow its volume every month and we're pretty excited about Marlboro's prospects. And I think we would like to get a more solid footing in those 3 cities before we start expanding. So it'll be a slow process. We face a formidable competitor that clearly is not going to give us an easy ride. We're fully aware of that. And I must say that the progress I've seen in Marlboro in India and specifically in those 3 cities is very, very promising.
Michael Lavery - Credit Agricole Securities (USA) Inc., Research Division: Well, that's great. And then also just back to the Philippines. I know you said that the pricing and cost savings were drivers. What split was that? Was one more important than the other? And what kind of sustainability to the pricing do you see there?
Louis C. Camilleri: I wouldn't go into the actual drivers. But yes, we see pricing opportunities in the Philippines over the long-term as being quite significant. Much will, of course, depend on what happens to excise taxes. And there has been talk of a reform of excise taxes, we'll see. So far, there have been debates in committees, but nothing concrete as of yet. And it seems to be that at least for the foreseeable future, the current excise tax structure will remain in place.
Michael Lavery - Credit Agricole Securities (USA) Inc., Research Division: And then lastly on Indonesia, it looks like there's some excise tax increases there. Do you see any problem covering those with pricing or more than covering them? What kind of pacing do you see that taking throughout the year?
Louis C. Camilleri: No, I feel quite confident that over time we can handle the excise tax increases that were implemented in Indonesia. As has been the case in the past, they were not excessive increases and they're quite manageable. And we believe that Indonesia will continue to rocket ahead in terms of both volume and income.
Operator: Your next question comes from Rogerio Fujimori of Crédit Suisse.
Rogerio Fujimori - Crédit Suisse AG, Research Division: Could you talk a bit about illicit trade trends in some of your key markets? You flagged Spain on the negative side and Canada on the positive side in 2011. So I'm just wondering if these trends -- you see these trends continuing. Or are illicit trade levels stabilizing in those markets?
Louis C. Camilleri: Illicit trade continues to be a huge problem. It has expanded quite significantly in a number of markets. And yes, you mentioned Spain. But illicit trade is increasing not only in Spain but in Greece, in Italy, in Germany, in Mexico quite dramatically, and remains a big issue in numerous Asian markets. So it's a plague. And we're doing everything to fight it. And hopefully, we can have more success going forward. It's a big problem, but it's also potentially an opportunity because you would hope that at one point those volumes will return to legitimate trade. And I think governments are more and more focused on ensuring that they don't open the door to further illicit trade by huge tax increases. But it remains a big issue, Rogerio. And we've made progress. I think if the world could adopt the industry's tracking and tracing system, it would help considerably. The advent of what are called illicit whites has become a huge issue, and we need to tackle the source of those products.
Rogerio Fujimori - Crédit Suisse AG, Research Division: And then just one quick question about Russia; the Russian consumer, actually. Is the price elasticity after the latest increase and also the pace of up trading playing out as you expected?
Louis C. Camilleri: Pretty well, yes. I mean, the Russian market in total is down. But in terms of the trends, the segment trends, they are showing signs of improvement. So it's looking quite good. And I think there is considerable consumer confidence in Russia.
Operator: [Operator Instructions] And your next question comes from Ann Gurkin of Davenport.
Ann H. Gurkin - Davenport & Company, LLC, Research Division: Just wondering if you could help me with a little more detail in terms of your outlook for the EU market in 2012. You touched a little bit on volume. So what's your confidence in pricing and growing OCI? And what are inventory levels like?
Louis C. Camilleri: Nothing really to report on inventory levels. We are hopeful that we can return to constant currency income growth in EU. Last year it was down, in part driven -- in large part driven by Spain. I think Spain alone, if I recall, was close to 3 percentage points of growth or lack of growth in EU. And our hope is that we can grow income in EU, which wasn't the case last year, Ann.
Ann H. Gurkin - Davenport & Company, LLC, Research Division: Okay, great. And then in terms of any potential markets requiring the use of LIP, do you anticipate any markets over the next several years converting to the required use of LIP?
Louis C. Camilleri: Well, the whole EU is on it now, which clearly is a cost hurdle this year or at least for 3 quarters. Others have looked at it. Nothing seems to be on the horizon yet. But I would anticipate that over time, most of the world would probably go in that direction, Ann, [indiscernible] although it doesn't make much sense.
Operator: Your next question comes from Chris Wickham of Oriel Securities.
Christopher Wickham - Oriel Securities Ltd., Research Division: Just going back on Rogerio's point, I mean, you do read increasingly that people are accusing the tobacco industry of using illicit trade as a tool really to get back at governments or to some extent to have it their way on taxes and on communication. I mean, do you feel that the approach to illicit trade has been mishandled? And can you think of ways in which it could be handled better?
Louis C. Camilleri: I think that clearly not enough has been done in terms of fighting illicit trade. I think the reference you made is actually being made less and less because the fact is law enforcements, authorities throughout the world recognize the role that the legitimate industry is having in fighting illicit trade. The bulk of illicit trade today is counterfeit products and illicit whites, by far the bulk of the illicit trade. And I think industry, government stakeholders, as well as consumers need to combine forces to fight this plague. It's been successful in a number of places, Canada was mentioned earlier. Romania was a good example, where illicit trade has been forcefully addressed and has declined quite significantly. It's still there, double-digit, but it's come down by some 40%. So it can be done, but it requires cooperation from everybody. And regretfully, there is so much money involved in illicit trade that at times it's difficult to get everybody's cooperation. But we are very focused on that and, in fact, intend to invest more behind the fight against illicit trade.
Operator: Our final question is a follow-up from Erik Bloomquist of Berenberg Bank.
Erik A. Bloomquist - Berenberg Bank, Research Division: With respect to another market where there's meaningful illicit, Brazil has a large tax increase coming in May, also with a minimum retail price implementation. What's the Philip Morris view on that? Is that increase going to be disruptive? And is PMI optimistic about improvements in the illicit versus legal volume mix in Brazil post the change in the law?
Louis C. Camilleri: You would hope that if the minimum price is actually adhered to, that clearly would help. Illicit trade in Brazil is not a new problem; it's been 30% of consumption for as long as I can remember. And it's basically 2 sources, one is Paraguay and the other is local manufacturers. I think the Brazilian government has focused more and more on the local manufacturers with some success. But it is an issue. I think that, as you know, the new tax reform is over a 3-year period. There will ultimately be one uniform tax rate applied to all cigarettes. I think that is a good thing. It may cause some short-term disruptions. But in terms of the longer-term prospects for that market, I think the government has made the wise and right move.
Operator: Thank you. I will now turn the call back to Mr. Rolli for any closing remarks.
Louis C. Camilleri: Before I pass it onto Nick, I did want to mention, because you all know Nick very well, that today is his 25th anniversary with Philip Morris International, and obviously before, its parent. And I think it's quite fitting to thank him for the 25 years, and that we would announce such spectacular results on his 25th anniversary. I'll now pass it back to Nick.
Nicholas Rolli: Well, thank you very much, Louis. Thank you very much. I appreciate it. Thank you all for joining us today. If you have any follow-up questions, you can contact the Investor Relations team, we're here in New York. And on February 23, we will be presenting, Hermann will be presenting at the Consumer Analyst Group of New York Conference down in Boca Raton, Florida. So we hope to see you all there as well. So thank you very much. Have a great day.
Louis C. Camilleri: Thank you, everyone.
Operator: Thank you. This concludes today's conference call. You may now disconnect.